Operator: Good day and thank you for standing by. Welcome to the Exco Technologies Limited First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Darren Kirk, President and Chief Executive Officer. Please go ahead.
Darren Kirk: Thank you, Michelle. Good morning, ladies and gentlemen. Welcome to Exco Technologies fiscal 2023 first quarter conference call. I will lead off with an operations overview. Matthew Posno, our CFO, will then review the financial aspects of the quarter before we open the call for questions. First, I'd like to make some comments about forward-looking information. In yesterday's news release and on page two of the presentation that we have posted to our website, you'll find cautionary notes in that regard. While I won't repeat the contents, I want to emphasize that the cautionary notes apply to this discussion today. So we again made great progress, advancing our various growth initiatives during the quarter, which is evident in our very strong top line results. We continue to see solid demand for our large and complex tooling and related solutions as well as our assorted interior trim and accessory products. Importantly, key drivers here are the accelerating adoption of electric vehicles and the broader environmental sustainability movement, both of which are in early innings. We are more confident than ever that Exco is entering into a multiyear period of heightened demand growth for which we are exceptionally well positioned. With regards to our specific investment plans, I'm pleased to report that Castool has essentially completed construction of its new facility in Mexico and delivery of machinery and equipment has commenced. We expect this plant to be operational in our third fiscal quarter, providing much needed capacity and better positioning us competitively within Latin America and the Southern U.S. Installation of new equipment that will upgrade and enhance our heat treatment capabilities across the segment continues, and we expect these pieces will be fully operational by the end of our second quarter. This equipment will give us unmatched competitive advantages while significantly reducing our own carbon footprint. Elsewhere, Castool's plant in Morocco remains in a ramp-up phase and is making terrific progress, while the large mold group has completed the installation of all equipment and crane capacity to handle molds of extreme size. Lastly, our plant expansions within our Automotive Solutions group are complete and all equipment to support new programs are operational. At this time, we have no change to our prior CapEx guidance for the year of $47 million. Overall market conditions continued to improve during the quarter, with automotive industry volumes increasing modestly and production flows stabilizing in both North America and Europe. This positively impacted our own efficiency, particularly in our Automotive Solutions segment, which demonstrated continued recovery in both sales and margins. Consumer demand for new vehicles is holding up well despite the financial squeeze from inflationary pressures and rising interest rates. We have seen early signs that OEMs are responding to the changing environment by increasing incentives and in some cases, reducing vehicle prices. This bodes well for automotive suppliers as these actions will help support sales volumes should economic conditions deteriorate further. Microchip supply is improving, though the industry is likely still months away from being fully recovered. Independent industry experts forecast a 5% increase in overall volumes for both North America and Europe through calendar 2023. We would expect our Auto Solutions segment to generate higher sales growth than this as we continue to launch previously awarded programs. Looking at it further, quoting activity is robust across the segment, which will support our growth over the longer term. With respect to our own input costs, we continue to see signs of slowing inflation or disinflation. In fact, in some aspects of our business, we have begun to see pockets of outright deflation, which is the case for certain transportation costs, steel and some other commodities. Labor rates, however, remain a challenge, particularly in Mexico, which pushed through a 20% increase in minimum wage in December. With these factors in mind, we continue to take specific pricing actions where possible in order to restore and protect our margins. We, of course, remain extremely focused on further improving our own efficiency, which is ultimately the clearest path to margin enhancement. Within our Casting and Extrusion segment, we saw strong demand for new die-cast molds, while rebuild work is continuing to pick up. This is true for both powertrain and structural programs and of course, our additive operations continue to gain meaningful traction. In fact, in January 2023 our large mold group recorded its highest ever level of monthly order intake in our backlog to sales ratio is currently sitting at record levels. Demand for consumable extrusion tooling did begin to weaken during the quarter as extruders responded to softening global macro conditions. However, extrusion demand in a number of end markets, such as automotive remains firm. As well, Castool's capital equipment sales within the extrusion end markets remain very strong as does demand for its consumable die-cast tooling and systems where we are clearly gaining significant market share. Margins in our Casting and Extrusion segment remain well below potential as we absorb start-up losses at new operations, incur elevated levels of depreciation from recent CapEx activity, navigate through operational disruptions as we install new equipment and continue to catch-up some inflationary pressures. Difficult conditions in Europe also weighed on segment margins. However, more recent data points are encouraging, including a significant reduction in energy costs and realization of initial synergies within the Extrusion Tooling group. We are very optimistic our segment margins will see recovery from here through the remainder of the year. With regards to the cyber incident that affected our large mold group's three plants during the quarter, I will provide a few comments: First, I will say this was a very sophisticated attack on our network. I want to emphasize that Exco is committed to data security and has taken this matter very seriously. Upon learning of the incident, we took immediate action to secure our systems and mitigate the impact to our data and operations. I'm pleased to report that our operations have now been fully restored and shipments to our customers have not and will not be materially interrupted. We are still fully assessing the financial impact of the situation, but at this time, expect production downtime and other costs associated with the incident will reduce our earnings per share in Q2 of this fiscal year by between $0.01 to $0.03 net of expected insurance proceeds. We do not expect material additional implications for future quarters beyond Q2. I would like to thank our customers and partners for their patients as we remediated the situation and of course, our employees who work tirelessly to restore our network and operations expeditiously. Lastly, I'm sure you noticed with last night's earnings release, our Board of Directors elected to maintain our quarterly dividend at $0.105 per share. The Board supported continuing our dividend at this level rather than increasing further, which Exco has done 14 times in the past 13 consecutive years. I want to point that continuance of the current dividend level in no way reflects the lack of confidence in Exco's expectations of future profit growth. Rather, I would emphasize that we see significant growth opportunities in our core business and are motivated to preserve our capital to fund such growth. In that regard, we will prioritize the use of surplus near term cash flow to reduce our current indebtedness. I will now pass the call over to Matthew to discuss the financial highlights of the quarter. Matthew?
Matthew Posno: Thank you, Darren. Good morning, ladies and gentlemen. Consolidated sales for the first quarter ended December 31 were $139.1 million, an increase of $38 million or 38%. Over the quarter, the consolidated impact of exchange rate movements increased sales by $6 million. Adjusting for the impact of foreign exchange, first quarter sales at our Automotive Solutions segment increased $11.6 million or 21%, and the Casting and Extrusion group sales were up $20.4 million or 45%. Consolidated net income for the first quarter was $4.5 million or earnings of $0.12 per share compared to $2.7 million or $0.07 per share in the same quarter last year, a 67% increase in net income. The effective income tax rate for the quarter was 21% compared to 26% in the prior year period. The change in income tax rate in the current year quarter was impacted by geographic distribution and foreign rate differentials. The Automotive Solutions segment experienced a 27% increase in sales in the first quarter or an increase of $15 million to $70.3 million from $55 million. The increase -- the sales increase was driven by higher vehicle production volumes and fewer program launch delays as supply chain disruptions eased in the quarter. North American industry vehicle production was up 8% compared to a year ago and European industry vehicle production was up 4%. Sales increased at all four of the segment's operations and with continued ramp-up in our new programs. First quarter pretax earnings in the Automotive Solutions segment totaled $7.2 million, which is an increase of $3.8 million or 112% over the same quarter last year. The segment's higher pretax profit is due to the 27% increase in sales and improved overhead absorption, partially offset by continued pressure on wages, materials and transportation costs compared to the prior year period. The Casting and Extrusion segment recorded sales of $68.8 million in the first quarter compared to $45.8 million last year, an increase of $23 million. Halex sales were $11.6 million. These results were impacted by December holidays, the Russian conflict in Ukraine and weakening economic conditions in Europe. Demand for our extrusion tooling and associated capital equipment outside of Europe remained relatively strong due to both industry growth and ongoing market share gains. However, signs of slowing market activity exist through the quarter. In the die-cast market, demand continues to improve as industry vehicle production recovers, new electric vehicles and more efficient internal combustion engines/transmission platforms are launched and customer inventory levels increased. Exco's additive 3D printed tooling continues its strong contribution as customers focus on greater efficiency with the size and complexity of the die-cast tooling continue to increase. Sales in the quarter were also aided by price increases, which were implemented in order to protect margins from higher input costs. Pretax earnings in the Casting and Extrusion segment of $1.9 million declined modestly compared to the prior year quarter. The decline was driven by $1.9 million higher depreciation, startup costs at Castool's heat treat operations and new market, continued outsourcing heat treat costs in our extrusion tooling group, while new equipment is being installed and higher raw material, energy, freight and labor costs due to inflation, particularly in Europe. Exco generated cash from operations -- operating activities of $10.8 million during the quarter and $5.6 million of free cash flow after $3.4 million of maintenance fixed asset expenditures. This free cash flow, together with the company's cash balance was used to fund fixed assets for growth initiatives of $4 million and $4.1 million of dividends. Exco ended the quarter with $18 million in cash, $110.7 million in bank and long-term debt and $41.9 million available in its credit facility. Exco's financial position remains strong. As such, the company's balance sheet and availability under the existing credit facility provides continued support for our strategic initiatives. Our strong financial position, combined with our free cash flow provides a foundation for management to pursue high-value growth capital expenditures, dividends and other opportunities that may arise. That concludes my comments. Michelle, we can now transition to the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of David Ocampo with Cormark. Your line is open. Please go ahead.
David Ocampo: Thanks. Good morning, everyone.
Darren Kirk: Good morning, David.
David Ocampo: Darren, you talked a bit about casting and extrusion margins improving throughout the year, especially as some of these onetime costs are eliminated and inflationary pressures ease. But when you take a look at your backlog, maybe excluding Halux, is the margin profile in the backlog getting closer to your long-term target of 20%? Or how should we be thinking about getting the bridge back up to 20% here?
Darren Kirk: Yes. Sure. Thanks for the question, David. So the backlog that I'm addressing there is really in the large mold group. And I will say that there is a good recovery underway in the pricing environment for that business. It's been a very difficult time for the past several years. But the backlog that we have to date is at much firmer pricing, and we expect it's going to go a long way to restoring our margins toward our target of 20% for the segment.
David Ocampo: And do you expect the pace of improvements to be pretty even? Or is it going to be more front-end loaded than back-end loaded?
Darren Kirk: So that -- it's probably going to be more back-end loaded, but that's just one feature that's going to help restore the margins. I mean, there's been a drag on the margins from the very difficult conditions in Europe. We are seeing signs of easing there. I don't think you should expect the margins to pop back up in that isolated regard, but it should certainly demonstrate some good improvement in our Q2. We do still have some front-end startup losses in our new plant. And we've had a tremendous amount of inefficiency from kind of replacing all of this heat treatment equipment within the group and having to outsource and that has implications for lead times and sales. So you can't downplay the impact that all of these things have contributed together. And so it's -- given the number of moving parts, I'm not going to give you a road map through the end of the year, but rather, I just refer to what I said during my script and that we expect that the margin is going to have improvement from here through the year.
David Ocampo: No, that's helpful. And then large mold, you touched on it briefly there about the backlog, especially with the good tailwinds from EV. But when you look at the backlog, is there anything in there that's related to the large molds that you've alluded to in the past, especially as you're installing new machinery and crane work there?
Darren Kirk: Yes. Installing that new equipment and the upgraded crane capacity has been a significant part of our strategy there. And there certainly is a lot of activity in that backlog that is going to take use of that capability. So yes, we are seeing demand already, and we expect that demand will grow strongly over the next several years.
David Ocampo: Yes. And then maybe competition in that area. I mean, it does seem like an area that has above average growth relative to the sector. So are you seeing more of your competitors invest in this equipment? Or is this something that you guys are doing kind of on a sole basis?
Darren Kirk: I would say that the very few competitors have this capability. I'm not aware of what other competitors are specifically doing to upgrade their capabilities to match the standards that we have. I think it's going to be very difficult for them to do. There's a lot of capital that's required in order to compete at this level and your customers demand a supplier like us that is extremely high quality. So as things get larger and more complex, it all plays to our strengths. And so, we expect that will increasingly be evident over the next several years.
David Ocampo: Okay. That’s perfect. That’s it for me. Thanks, guys.
Darren Kirk: Thanks, David.
Operator: Thank you. And one moment for our next question. And our next question comes from the line of [Sklar Peter] (ph) with BMO. Your line is open. Please go ahead.
Unidentified Participant: Hi. Thanks for taking my question. So in the earnings remarks, you mentioned that you've seen some market activity slowing down, while at the same time your inventory levels have increased. So can you guys help us understand which part of the market is experiencing a slowdown? And why it's not impacting your strong demand outlook?
Matthew Posno: So just to clarify, and you're right, there were some comments. We've seen some markets slowing down and some picking up. So the large mold and die-cast production areas have certainly been heating up. And within the extrusion area, we are seeing a little bit of cooling down in the market in certain sectors that we supply. So I think that kind of covers what your question was. Darren, you ...
Darren Kirk: Yes, I would just add to that Yes. I mean building and construction, as you would expect, is significantly influenced by the rising interest rates. And we're starting to see some slowdown there. But that business is highly, highly diverse. And while building the construction, which is a large end market is perhaps down a bit. Automotive and many other transportation and green energy sub-segments are showing strength. So altogether, we've seen total demand kind of back off a little bit, but I will also say that things are pretty temperamental in that business, it's difficult to get a good read of where we are seasonally. December is typically a relatively soft month and we are seeing things come back actually quite a bit stronger towards the end of January. So we'll see where it goes, but that's some kind of color around what's happening in the extrusion part of the business. I would also add that Castool kind of sells a number of consumable components to extruders, but also a lot of capital equipment, which have a longer lead time and time focused. And that capital equipment business is -- it's continuing to remain very strong and further looking out beyond the immediate time frame, there are a number of new and large presses, extrusion presses going in globally, and that kind of gives you a good indication of where things will go on a longer time basis.
Unidentified Participant: Got it. And then you just slightly touched upon a weaker -- like the first quarter and the fourth quarter, it's generally weaker with you. Like we can understand during COVID that this pattern wasn't as prominent, but like going forward do you see that the first and the fourth quarter would be weaker going forward from now.
Darren Kirk: So it's hard to say what a regular cyclicality of our quarters is, as you know, between COVID and the semiconductor and supply chain issues. I mean traditionally, our fourth quarter there are summer shutdowns, especially in Europe and less so in North America, but in North America. And then in our first quarter, Christmas and December holidays, I'll call it, have certainly impacted. So I'd say that's normal, but I don't know what normal is nowadays. But that's kind of typically shipping days and so on.
Matthew Posno: Yes. But seasonally speaking, that would be slower than our Q3.
Unidentified Participant: Yes. Okay. And just finally on how much of the margin pressure in the casting and extrusion segment is attributable to the input cost inflation that you're seeing?
Darren Kirk: Quantifying that is difficult. It's got a number of moving pieces. And to some extent, it's offset by price and it is a sizable component to be sure. And then you've got to work hard to further improve efficiency in order to recapture that lost margin and then price increases have to be part of the equation. And then hopefully, we see a continuation of the certain deflation trends that are becoming evident. The price of steel is starting to go down and the price of some of our energy sources is also going down and some other commodity input costs are seeing certainly disinflation, but even some deflation. So I mean, I can't give you, unfortunately, a specific margin percentage. But I could say it's a material impact at the front end here.
Unidentified Participant: Got it. And just an additional question on that one. So you said you put forward some price increases. Does that reflect in this quarter? Or are we going to see some margin improvement because of the price improvement in the next quarter?
Darren Kirk: Sorry, the line was a little dabbled there. Could you ask again?
Unidentified Participant: Yes. You mentioned that you put forward some price increases. So my question was, does that price increase reflect -- is that price increase reflected in this quarter? Or we can see some margin improvement because of the price increase in the next quarter?
Darren Kirk: Yes. I mean, you'll see some of that price increase, it was evident in the current quarter, but you'll see continued improvement from that regard in subsequent quarters as well.
Unidentified Participant: Okay. That’s it from me. Thank you so much.
Darren Kirk: Great. Thank you very much
Matthew Posno: Thank you.
Operator: Thank you. [Operator Instructions] I would now like to hand the conference back over to Darren Kirk for closing remarks.
Darren Kirk: Great. Thanks, Michelle, and thanks everyone for joining us today. We look forward to discussing our Q2 results in another 90 days or so. Talk to you then.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.